Operator: Good day, ladies and gentlemen, and welcome to the Enel Chile's Q1 2021 Results Conference Call. My name is Buena, and I will be your operator for today. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] During this conference call, we may make statements that constitute forward-looking statements within the meaning of the private Securities Litigation Reform Act of 1995. Such forward-looking statements reflect only our current expectations, are not guarantees of future performance and involve risks and uncertainties. Actual results may differ materially from those anticipated in the forward-looking statements as a result of various factors. These factors are described in the annual Chile's press release reporting in its Q1 2021 results. The presentation accompanying this conference call and Enel Chile's annual report Form 20-F, including under Risk Factors, you may access our Q1 2021 results press release and presentation on our website, www.nl.co and our 20-F on the SEC's website www.sec.gov. Readers are cautioned not to place undue reliance on those forward-looking statements, which speak only as of their dates. Enel Chile undertakes no obligation to update these forward-looking statements or to disclose any development as such results of which these looking forward statements become accurate, except as required by law. I would now like to turn the presentation over to Miss Isabela Klemes, Head of Investor Relations of Enel Chile. Please proceed.
Isabela Klemes: Thank you. Good morning to all, and welcome to Enel Chile First Quarter 2021 Results Presentation. Thanks all for joining us today. I hope this finds you well and your family as well. I am Isabela Klemes, Head of Investor Relations. Our presentation and related financial information are available in our website in the Investors section. A replay of the call will be also available. There will be an opportunity to ask questions after the presentation via phone or the chat through the link as per question. Joining me this morning, our CEO, Paolo Palloti; and our CFO, Giuseppe Turchiarelli. In the following slide, Paolo will open the presentation with the main highlights on business and operational performance. Then Giuseppe will walk you through our financial results. Let me remind you that media participants are connected only in listening mode, our IR team will continue to be available to providing you with pertinent information we may need concerning the figures included in this presentation. Thank you all for your attention, and let me now hand over to Paolo. Paolo?
Paolo Pallotti: Thank you, Isabella. Good morning, and thanks for joining us. Let me start with the main highlights of the period on Slide 2. We continue to reinforce our leadership in the renewable market, growing with renewable capacity additions. We are adding 1.3 gigawatts of renewable projects under construction on an installed base of 1.2 gigawatts already in operation. We recently announced an agreement with IM2 Solar to develop 10 distributed small-scale project, adding 75 megawatts by 2022. During the first quarter, we have closed the transaction for the factoring of accounts receivable related to the application of transitory mechanism for stabilizing electricity prices, totaling $180 million in nominal terms. For the first time since the creation of Enel Chile, the AGM held on the past 28th of March, however, appointed two women for the position of Director, tackling the diversity at Board level. We continue to advance in our commitment to promote inclusion and diversity within our organization. Lastly, the AGM has also approved the dividend proposal to be paid on May 28, reaching an amount of CLP 3.077 per share, not affecting our shareholder remuneration with accounting effect related to the impairment made during 2020. Let's now have a look on our decarbonization and renewables development. We constantly seek new ways to boost the energy transition, generate business opportunities and push efficiency and innovation in all our business lines. Under this approach, we have developed different projects and initiatives as part of our action to tackle the climate change and to continue promoting the energy transition and the [indiscernible]. As an example, we have connected the first 3 out of 10 small solar plants, known in Chile as PMGD as part of the agreement signed with IM2.In the first phase of this project, during 2021 and early 2022. We will secure 75 megawatts of solar stored capacity direct connective to medium bolters network in the central region of the country, close to high consumption areas. Finally, as we already announced, we are currently developing different innovative projects, always embracing the opportunities of energy transition and the efficiency of our operations. As, for instance, the first scale wave energy converter in Chile. Now on our capacity under construction in Page 4. We are finalizing 1.3 gigawatts of capacity under construction. Most of those projects will enter into operation during this year, contributing to the currency decarbonization process. This will be a milestone for Enel's transition, both for us and for the country. Regarding our solar facilities, during the second half of the year, we will finish the construction of Campos del Sol, Azabache, Domeyko, Sol de Lila, Finis Terrae and part of the first phase of the PNG project previously mentioned. The construction of those projects has been [indiscernible] to be very challenging, considering all the headwinds we are facing since the pandemic [indiscernible] , including lockdown restrictions, delays in the environmental licenses, delays on archeological permits and most recently, the closure of the country's borders that prevent specialized technicians from the new industry to commission some plants. Now let me give some detail on market conditions that drove the price volatility during the first quarter. Go on Page 5. During the first month of this year, we saw a combination of factors that led to a very unusual situation for the Chilean electricity system. On one end, the system had less water availability at the beginning of the year, with 25% less potential energy stored in reservoirs. On the other hand, since October 2020, the Chilean market show a deficiency in the natural gas availability. Due to the interruption of Argentina gas supply, which became more critical at the beginning of 2021. Since the first half of 2021, we put in place an action to improve the availability of gas. And started buying additional LNG cargoes. First of all, to supply our plants in the central of the country and then negotiating access to Mejillones LNG terminal to supply our natural gas power plant in the north. During the second half of March, we have started selling natural gas to other generators. Within this framework, we were the generator that maintained the supply of LNG for its plant during the period. And at the same time, we operate our hydro facility, achieving a degeneration of 2.1 terawatt hour, contributing to half of the national hydroelectric generation. All these actions allow us to generate with our CGT plants in the country, central areas. And to reduce the pressure on marginal prices during April. Let's move to the next slide, where I will explain why we believe that this is not a structural balance on the Chilean system and the challenge that we need to push. As you can see on the left side, marginal costs strongly increased during the first quarter. Moving from an average of $50 per megawatt hour during first quarter 2020 to $75 per megawatt hour in first quarter 2021. This reflects the condition already presented, primarily the result of hydrological condition and the lower LNG and Argentina gas availability in the market, which led to the system to generate decent recovery. In this regard, I strong believe that renewable growth based on solar energy is a key to continue to reduce the exposure to win to either availability and commodities. We also believe that the situation, we have seen [indiscernible] is not an unusual situation, but rather a short-term one-off condition of the market. In addition, we think that natural gas will continue to plan -- to play a leading role during the energy transition to maintain and guarantee supply and client stability in this regard and that Chile will continue to be a player in this technology. We firmly believe that as a transitional decision, any new proposal, technical rules, [indiscernible] on LNG usage should guarantee system security and profitability. Since this technology is the enabler of the energy transition which complements the viability of renewable sources. Finally, we have a 1.2 gigawatt portfolio of BESS project and pipeline in different stage for development, ready to be executed. As soon as the regulation will be ready for this technology. Battery energy storage systems are the additional option to reach more stability and diversification for the Chilean energy system. Now let's move to electrification on Page 7. During the first quarter of the year, we have signed a partnership with Sodimac to develop an infrastructure plan and install charging points in the export through the country. It's worth highlighting that we have already stored charging points in its corporate building and distribution centers to supply its new last mile electric trucks. On the same line, thanks to an alliance with Anglo-American, we have finished our first electric charging public station. It features 12 high-power charging points for public and private use under the charging as a service model. This agreement allows Anglo-American to use the terminal for eight years and supply their fleet of 17 boxes that the company used to transport their stuff. Continue with electrification a strategy along with [indiscernible] , the Energy Sustainability Agency and the Minister of Energy. We have been able to find sustainable sports center using a mix of technology, which not only reduced the cargo footprint but also generate savings to the [indiscernible] . Regarding the more serious initiatives, with the support of Secretary of the Communications, we are developing the first Smart Park in the [indiscernible] district. Which integrates smart lighting, analytical cameras, Wifi, USB chargers, [indiscernible] solution. Now network, Page 8. The distributed energy reflects the impact from the standards of [indiscernible] , which was partially offset by [indiscernible] consumption. Our investment in utilization and action plan have allowed us to provide more efficiency and agility, increasing the course of our service and recovering the total loss rate to 5% despite all the logistics restriction we have faced. Energy distribution app reached more than 470,000 downloads, 81% higher than March 2020 community figures. This confirmed the improvement of our digital channels to stay in contact with our clients. On the lower side, the final report of distribution reference model is expected to be published during the second quarter of this year. As a consequence, the regulator technical report that will fix the new tariffs definitions should be presented in November. Any discrepancy between the regulator and company's positions can be challenged in the panel of expert instance. Consequently, we expect the release of the final distribution tariff decrease during the first half of 2022. Regarding transmission tariff cycle, 2020, 2023, we expect the regulators report fixing the new tariff cycle to be issued in the second quarter, which can also be challenged in the panel of expert instance. Transmission charges decree is expected to be published between the end of 2021 and early 2022. Let's move to Slide 9. Our effort on digitalization has also allowed us to maintain our collection level at 98%. In that sense, today, 80% of the interactions with our clients are made by digital channels. Considering the negative economic effects of the COVID-19 pandemic to support the most beautiful clients, we have already promoted a [indiscernible] payment agreement before the approval of the basic service load. Today, [indiscernible] discussing the condition for the extension review of the second version of that load. In our view, the problem was being allowed to grow without looking for long-term impacts on clients. It's time to look for a comprehensive type of solution that would prevent the most vulnerable families from collaborating and increasingly heavy back of debt. The state participation became fundamental to develop recovery scheme with the state itself becoming part of it to help to recover the debt for people who need it most. Thank you. And now I hand over to Giuseppe.
Giuseppe Turchiarelli: Thanks, Paulo. Let me start with a summary of our financial highlights on Slide 11, which will go through details in the following slides. But first though, I will explain the adjustments we made in our first quarter 2021 figures. For the first quarter 2021, we have adjusted EBITDA and net income considering the sector rising from the coal stock impairment associated to Bocamina 2, our last coal-fired power plant. The coal stock impairment has an effect of $15 million in EBITDA and $10 million on the bottom line. All the details are described in the bottom of the slide. In the following slide, I will address in more detail each of these figures. Now we will start reviewing the details of our CapEx allocation on Slide 12. In the first Q 2021, our CapEx reached $272 million, mainly dedicated to the construction of our new renewable capacity. Customer CapEx reached a total of $15 million, in line with the first Q 2020. The CapEx was mainly allocated to build a new connection and maintain the supply continue. Asset management CapEx reached $24 million, $42 million, 32% higher than the third Q 2020, mainly due to higher maintenance activity in distribution were in the low and middle tension grid and digitalization projects in renewables. As of March 21, development CapEx reached almost $235 million, a $134 million higher than last year period. Largely driven by renewable expansion and development of our distribution business to continue the digitalization of our network. Let's now start with the Q first adjusted EBITDA breakdown on Slide 13. That accounted $220 million, 18% lower versus 2020 figures, mainly due to challenging hydrological conditions leading to a more intensive generation in the fourth Q 2020 during the winter season, decreasing the hydro down reservoir. Combining with the lack of gas in the system, resulted in higher spot prices, which increased the cost of ANG part which is required to supply our contracted demand. Negative PPA margin effect, mainly associated with the lower price of our regulated PPA due to the commodity taxation. New agreements starting the [indiscernible] a new concept coming from the Enel distribution free customer portfolio at the beginning of the year. And lastly, around 50% of the negative variance is explained by the appreciation of Chilean pesos in the period versus last year period, considering that our book currency is in Chilean pesos and our PPAs are U.S. denominated. Network business variances are coming from lower demand, mainly in regulated customers due to the continue of the lockdown [indiscernible] .Provision of lower remuneration on distribution tariffs, which should be retroactive to November 2020. All these effects were partially offset by $29 million of the positive effect from the net commodity coverage, $8 million of lower depreciation of channel hedge versus U.S. dollar related to our U.S. dollar loans. And $8 million due to the lower effect of the stabilization mechanism account readjustment and efficiency in OpEx in generation business. Let me now give you more detail about the generation KPI on Page 14. Our first quarter generation reflects a less efficiency mix as a result of a lower availability compared to the first quarter of last year, which was partially offset by other renewables and thermal production. Our energy sales shows a reduction in the regulated energy due to lower demand and termination of PPA from the 26 options, more than offset by the increase in the free market because of the new contract with Anglo-America and with the clients coming from the energy distribution as a part of the unbundling regulation for what concern our sourcing on top of the already mentioned production variances to be accounted for an increase 0.3% which part is coming from box spot market and 0.6% related to the portfolio of contracts coming from distribution retail business. In the next slide, we present a summary of the performance of our generation business, including Enel Chile and energy Power Chile of our network business, including Enel Distribution and Enel Generacion. The main balances between the billion were already explained in the Slide #15. Now on Slide 16, let's go through the main driver of our group machine. [indiscernible] reached $76 million, a variance of $16 million, mainly related to the lower D&A in LNG generation, mainly due to the impairment made in Bocamina two in 2020. Net financial results totaled an expense of $52 million, an increase of $16 million, mainly due to higher cost related to the factoring executed in generation business on the stabilization mechanism account. This effect was partially offset by the higher financial expense capitalized in the first Q 2021 and lower financial cost of debt due to the Chilean peso appreciation versus U.S. dollar. Income tax and minority reflects the impact related to the lower EBITDA and higher financial expense. Moving to the cash flow on Slide 17. First Q 2021, FFO reached $213 million higher than the previous year figures, mostly due to higher net working capital, mainly explained by the cash received from the factoring of stabilization mechanism account and client receivable in distribution totaling amount almost $200 million. The transmission line sales in 2020 with a cash impact this year of $29 million, partially so we bought this during the first quarter of last year and lower new accounts of the stabilization rate. Higher income tax during first Q 2021, mainly explained by higher income tax payments this year in generation business and higher financial expenses, mainly explained by the cost of factory of the stabilization mechanism account. Let me now go through our deck on Slide 18. Our gross debt of March 2021 is in line with December 2020, amounting to $3.99 billion. Our net debt in the period compared with January 1, 2021, increased $79 million directly associated with our intense CapEx plan. Associated to the 1.3 gigawatts under construction that will start bringing EBITDA in the second half of the year. The average cost of our debt is quite stable, reaching 4.7% in the first Q 2021. The cost of debt should remain stable during 2021. Let me highlight that we have just issued our first [indiscernible] company debt of $300 million with maturity of 10 years and 2.5 percentage free, a very competitive interest rate demonstrating the recognition of our derisking strategy. The new LDG loan considered as a KPI, the field to emission of our generation fleet by 2023. In terms of the amortization, our schedule remains very smooth with a average of six years and around $300 million annually maturing in the next two years. In terms of liquidity, we maintained the level of $900 million, giving us flexibility to face potential headwinds in the market. Now I will hand over to Paolo.
Paolo Pallotti: Thank you, Giuseppe. Let's go to closing remarks. Despite the challenging circumstances, and in Chile is taking all the necessary actions to mitigate the impact of growth that is affecting the country. And the effect that COVID-19 has cost to achieve the guidance for 2021. Our clients will remain at the center of our strategy, and will be the focus of our effort in improving service, improving the customer experience based on our digital operations. This year, our decarbonization plan will be focused on the execution of our renewable projects to achieve our 2.4 gigawatt of new capacity has started proposed in our 2021 and 2023 plan. Our business resilience and sustainable strategy are supported by our balance sheet strength and long-term vision, especially against the sector headwinds that we were facing. Thank you for your attention. And let me now open the Q&A session. I will hand over to Isabela.
Isabela Klemes: Thank you. As an anticipation, we will receive questions via phone and chat in the webcast for the occasion. The training section is open. Buena, operator, please, you may start.
Operator: [Operator Instructions] Your first question is from Murilo Riccini of Santander.
Murilo Riccini: My first question, do you expect higher provisions in the coming quarters due to the extension of the pandemic? And could you give us an update on the last talks and developments on the basic service law? The second one if you are expected to review your guidance during the coming months. And the last one, you could elaborate a bit more on the storage plan. Are the batteries you will be installing related to the arbitrage of marginal price or more focused on providing complementary services? How are you seeing the investment costs in these technologies that you have access to? And when do you expect the installation of this type of technologies to accelerate in Chile?
Paolo Pallotti: Thank you, Murilo, for your questions. Let's start on the answer on basic service law. Okay. You see -- you know that this is the long debate here in Chile. [indiscernible] It has been stained at the first time, I mean, first day -- the first day of January, now the, let's say, the headline is the 5th of May and the discussion is to, let's say, there are -- the current situation is that there are two projects or loan coming from [Cameron] coming from senate that will be collapsing to one and will be voted soon so -- and the content of this project loan is quite easy in the sense that the content is just to extend the deadline until the end of this year. And to extend the number of payment that could be allowed to the client up to 48 quarters. And, let's say, the last change is to enlarge the perimeter of clients that are allowed to access to a special agreement for such repayment to 80% of the clients that are in the social register in Chile. This is the current situation. Then the evolution is, let's say, could be approved, the lag could be approved in very, very, very soon. At the same time, it was a debate ongoing that introduced for the first time, a different approach in the sense that there is, let's say, a growing understanding of the impact that this simply extension may have on clients. And this could be subject to, let's say, technical analysis, technical table between the Senate and the government in order to fix certain rules to, let's say, to involve also the state of Chile in order to, let's say, the final scheme to recover the debt a different solution may grow too much. And then at the end of the -- let's say, below the end -- the lapse of the loan, may be early 2022 could be with too big for the family that should have to pay the current, let's say, bill plus the amortization of the debt. So this is a part of discussion ongoing that many drug to approve a different scheme for the recovering of the debt. This is, let's say, this is an important element because for the first time, there is, let's say, on the table, the discussion involvement state that we think is essential for this product. The same time, there is another element that should be addressed that is the -- to give to the companies, the distribution companies, the availability to cut certain segment of clients that let's say, are not vulnerable according to the definition of the law, but they can -- today, they are not paying their bills because they cannot be cut off for the unpaid bills. So this is an element that should help a lot to recover a situation that for the time being, is going forward according to the, let's say, rules fixed to the first -- from the first basic service growth issue on August. So this is the current situation. Clearly, we are very interested in the look in evolution. And we are, let's say, eager to understand what could be the outcome of these technical table that will take place. Regarding the guidance, clearly, we do not issue any change today. Please, we are working to recover, let's say, the gap that we, let's say, we have the first quarter, and then we have an action plan in order to let reline our result. We'll see in the next month, what could be the outcome of the action plan. Regarding the storage, clearly, storage is -- we think that storage is an essential element in the system. And we see storage together linked with renewable facilities, especially with solar facility. Basically a clear explanation regarding that debt because it's clearly can stabilize the floor. The energy can, let's say, provide the most stable capacity availability system. And should that also the flow of the energy from the north to the center is the higher consumption side. So these are only part of the, let's say, additional services that the storage can provide to the system. And we think that which -- and we are waiting for, let's say, a clear regulation that can give us the possibility to start with the selection of our partners. That we have already, let's say, we have already some project. We can go install as soon as the regulation will be ready clearly. Our position, we see a position in between power [indiscernible] , but we are focused on providing additional services.
Operator: Your next question comes from the line of Andrew McCarthy of CrediCorp Capital.
Andrew McCarthy: I have three questions. The first one, just on the guidance and the likelihood of hitting the 1.5 to -- $1.4 billion to $1.5 billion target for this year. Just trying to think through what needs to now go right for that to be achievable? I mean, maybe could you talk a little bit about what you need to happen in terms of the hydrology, the availability of gas, the proper operation of coal plants in the system on the generation side of the business, and what you're seeing maybe today on those fronts and whether that's maybe going to help in the coming weeks, drive down a little bit the -- obviously, the spot market prices. That's my first question. My second question is, I was wondering if you could provide a bit more color on the -- what sort of a margin is you might be expecting to make on this PMGD business and you talked there about 75 megawatts between 2021 and 2022. How much scale maybe that business could have more longer term and then the final question, a more specific question. Just trying to understand the saving you saw in the net commodities coverage of $29 million in the quarter, whether that was a onetime effect. Or not? Those are my three questions.
Paolo Pallotti: Okay. I will take the first 2, and I'll leave the last to Giuseppe. Okay. Regarding guidance, let's say, a question I can answer, let's say, as a general elements to share with you guys. So clearly, our numbers are affected by -- and early, as you correctly mentioned. So we have our current forecast retails on the -- what happens -- happened during the first four months. And we -- clearly, this can have a positive or negative effect depending on what could be the evolution. There is the contribution of our project that is important in reaching our guidance. And we are, let's say, focus on the development of the project in order to meet the deadline. Clearly, as I mentioned, the situation is not very easy because with the impact of the pandemic is still strong. And so as I also affecting, as I mentioned, the possibility of having people coming -- entering the country in order to, let's say, support our operation on site. So this is it's a matter of timing. It's not a matter of possibility clearly. But in any case, as an affector on this. Regarding gas availability, we are entering into a season where our plan and our, let's say, deadlines regarding the delivery of the shipping of the LNG according to that contract is on time and it's online. So we do not expect any external event on this. Clearly, the water effect could have in the last part of the year regarding the availability of Argentinian gas. There is, let's say, message is information regarding the new availability. So the export from Argentina will start again according to the previous agreement. But we will see on September, October, that everything is working well. So this would be an external event that. Today, we can [indiscernible] , we expect that will come online a basis, but we cannot, let's say, strongly commit on this for the time being. So these are, as I mentioned, and clearly, we are also working internally in order to find internal action to recover certain elements to confirm to, let's say, recovered again. This is what I can comment. Regarding your second question is the margin of the PMGD is it reflecting on our numbers. I -- what I mentioned is that the starting point, so it's win an important agreement that we see in order to have solar facility in the central area of the country. This is something that could help to, let's say, support our generation and to provide electricity to our -- according to our contract. And [indiscernible] is, let's say, competitive -- competitive generation based on solar. Regarding the third element, I leave the point to Giuseppe.
Giuseppe Turchiarelli: Well, in general, of course, we -- the point is to cover our exclusion to the commodity. So actually, which will be the effect in the following months. We're going to depend on the trend of the commodity. As of today, we got this positive impact when comparing with the last year. Let's see how the trend is going and how the commodity is going to be.
Isabela Klemes: Operator, I don't know, Andrew, if you have any other questions?
Operator: Yes, we will have another question. It's from Sara Kuchanny of Medioblanca.
Unidentified Analyst: Can you hear me?
Isabela Klemes: Yes, Sara, we can hear you.
Unidentified Analyst: Okay. The first question is on working capital evolution. We see the positive effect on working capital in this first quarter. If you can comment to the dynamics behind that? And how do you see the evolution during 2021? The second question is on the impact that we -- the negative impact that you had in the first quarter related to the PPA margin. Do you see this factor to continue also in the coming quarters? And if yes, what are the dynamics behind that? And third question is on the regulatory review on networks. If you had any contact with the regulator? And what do you expect from this review? And last one is on the -- if you can update on the evolution on the -- of the free market and the impact that you see on the company's margin.
Paolo Pallotti: Okay. Thank you, Sara, for your question. I will take the last two and leave the first two to Giuseppe. Regarding networks, the two tariff revision are ongoing. And there is a clearly is a contact -- a formal contract with the regulator because there is a committee composed by representatives of the company that has a regular meeting with the regulator. They're working for the time being, regarding distribution, the, let's say, the activity is in the end of the regulator, especially in the end of the consultant to the regulator in order to have the -- to have the report on the reference model. And then based on this report, the regulator will issue his report, his internal report. So this is the moment when we will see the way which the regulator will fix the tariff. And then clearly, there will be a debate on this. And if the case, if there are there will be discrepancy between the position of the companies and the position of the regulator. There will be, let's say, discussion in the panel of expert. This required time for the time being or we think is that this discussion will take place in the second half of this year. So the issuing at the end of this year and let's say, the decrease of distribution will be fixed by the -- within the first half of 2022. The process on distribution -- the transmission is more advanced. And we see that -- we think that can be fixed by the end of this year, early next one -- next -- so April, May 2022. But clearly, there are events of, let's say, meeting with the regulator say formal. And then there will be the formal review of the report issued by the regulator. Regarding the last -- the second question evolution of the free market. For the time being, there is no step ahead in terms of the portability law. If this is the, let's say, the reference of your question. The sense that after the presentation of the project at Congress level there was an initial debate about the scope of this law, and then everything had been freezed. You see that today, the focus or the Congress for -- with referring to the energy sector is more on the basic service law and then other change in the sector. Regarding the attitude of the current situation, clearly there are some activity in the residual client that can opt to go to the free market are moving, but let's say it's very residual compared to the size that we have the oversize of the free market. To Giuseppe.
Giuseppe Turchiarelli: Yes. So [indiscernible] was concerned there, net working capital, as I said, when I talked about on Slide 17, the variation is coming, first of all, because of the factoring of the stabilization mechanism account and starting that we are doing for so receivable in our distribution company. Clearly, we are going ahead with this factoring. We believe that during the first quarter, we are going to going ahead with the factoring of stabilization mechanism around other $3 million between the second Q and the third Q. And the other impact that could be affected the net working capital in the future, of course, are the implementation of the basic service flow. And because of that, we need to understand a little bit better how it's going to be designed. And of course, we have a significant amount of CapEx spend. So these are -- this is the third impact that could have in our net working capital for the following months. For what concern the negative PPA margin? I will repeat again, which are the variation, the reason of the variation. First of all, I said the commodity indexation in regulated PPA. Now the commodity [indiscernible] have a lag -- a time lag of six months. So basically, the index are related to the previous six months. And again, if I think about the future months, we need to understand how will be the evolution of the commodities that are the basis for the PPA, regulated PPA. On what's concerned the second reasons that a new contract with Anglo-America and the contracts that are coming from energy distribution. This kind of impact should be remained because basically, our portfolio in the generation portfolio is going to change according to this new contract and for what concerned the last impact was around 50% of these negative lines. This is just the account of the card debt, our book is in pesos. So considering the fact that we got an appreciation of the Chilean peso and seen the following year is going to be according to the same trend. Clearly, when you compare dollar versus [indiscernible] , you're going to have such a negative impact. Just to let you know, last year, [indiscernible] last year, the average exchange rate peso U.S. dollar was above CLP 800 per dollar and this year, in the first Q ended CLP 720 per dollar average in the last three months. So considering the different exchange rates also in the following months according to the estimation is within the market, we're going to have a [indiscernible] .
Operator: Your next question is from Rodrigo Mora of Moneda.
Rodrigo Mora: Thank you for the presentation. I don't know if you -- can you hear me, please?
Isabela Klemes: Yes, yes, Rodrigo. We can.
Rodrigo Mora: Okay. Okay. I've got a couple of questions. Please let me help with this. The first one is I would like to understand why is the reason that the company has making an impairment of coal stockpile. The second question is related to distribution business. I would like to know is as today [indiscernible] can cut the service to customers that have high consumer, high consumption. I mean I've read an interview of CEO of Enel Dusion that mentioned that some customers that consume around 500-kilowatt hour per month, which means it's a huge consumer, more than 2.5x the average of consumption didn't pay the bill. So I would like to understand why the company cannot cut or is -- or the company is able to cut the service to those kinds of consumers. And finally, I would like to understand the impact of the EBITDA or the free customer business that Enel [indiscernible] , both to [indiscernible] last year, I think there is a translate of EBITDA from [indiscernible] to [indiscernible] .
Paolo Pallotti: Rodrigo. I will take the second question and leave the number to Giuseppe. So let me give you some color on this because your question is very [indiscernible] . I like it very much because you see that if you look at the concession area of Santiago, and we look at residential, we have an average consumption in the range of 20 -- 220, 230 kilowatt hour per month. This is the average consumption. And what you are referring to are domestic clients, emergence to domestic clients. Domestic clients that has a consumption higher than 1,000 kilowatt hour per month. You can also talk about clients that have consumption higher than 750-kilowatt hour per month. So our domestic clients that are this kind of consumption that is supposed to be domestic clients, residential clients with a nice regime of life, let me say. And we have a [indiscernible] number of these clients that today are not paying and the point is that according to also the second issuing of the labor, the [indiscernible] , we cannot cut the service to them because we are not allowed to cut service to any residential client. So this is the situation. What we are asking in this review is also to focus the earth, the support and also the ability to the action of not cutting off to the clients that are defined as good level. That today is 60% of the clients that are in the least report of the [Foreign Language] sharing the concept -- the Chilean concept, plus other clients that are [indiscernible] clients that are -- lost their job or clients with an age higher than if I remember correctly, 65 or 70 years. So these are the clients that today are defined as vulnerable, that can access to certain agreements with certain conditions with no interest, with no anticipation and the number of costs that can go up to 36% according to the current law but we cannot allow to cut other residential domestic clients. That's the law. And this is what we are asking to change among the others, there are some other elements that clearly need to be fixed.
Giuseppe Turchiarelli: Okay. For what concern the [indiscernible] impairment, because is that we are following the same accounting treatment that we made at the end of last year when we made the impairment of the asset. So considering that the core [indiscernible] . Going to be using a very unique way, and the value of the facilities only to lend every time that we have need provide the services to the system, we need to be the call. And every quarter, when we look at the stock that we have in our booking, we made the impairment. This is just an accounting treatment again I repeat that is in line with what we made last year. What concerns the impact of the three customers that moved from distribution to generation. Okay. Clearly, at the level of [indiscernible] because it's just from one side to the other side. What I can tell you is that last year, the margin of this contract was at the end the first Q was around $6 million.
Rodrigo Mora: Sorry, Giuseppe, if I understood the impairment of coal stock pile is not the coal itself, it's the coal facility.
Giuseppe Turchiarelli: No, no no, the coal stocks. [indiscernible]
Rodrigo Mora: The company is going to use this stock burning during all this year until May of the next year. Why you the company should make an impairment.
Giuseppe Turchiarelli: I will explain, basically, in the facility the [indiscernible] plant has to provide the services. So every time that the [indiscernible] is going to call Bocamina, Bocamina has to produce, okay? Of course, in order to be ready to produce, we need to have the call. And so we buy the policy in order to be ready to provide the service. Now this is the point. Every quarter, we see how much inventory we have in terms of coal. And considering the fact that Bocamina has a value equal to zero because we have already impaired the full amount of the assets. The remaining -- what is remaining in terms of stock has to be impaired, okay? So we need to bring to zero the amount that the stock of the coal. In the following months, again, if needed, we're going to buy other coal okay. We provide a service if we have been called by the system. And at the end of June, we repeat the exercise. So we look at how much is the remaining coal in our stock and we make impairment. And this [indiscernible] because of that because the treatment and the assumption is that Bocamina is a facility that is there. Waiting for being called by the system, okay? So basically, no value, Bocamina, as the asset doesn't have any kind of value right now, except for the land, as I said, right? This is the reason.
Rodrigo Mora: Okay. Okay. Sorry. And the second answer, respect to the three customer business, from distribution to generation. You said that last year, the EBITDA margin was $6 million. The first quarter?
Giuseppe Turchiarelli: No, no. Last year was $6 million.
Rodrigo Mora: Okay. Okay. Look, I had another question is related to the -- or the process of the transmission. The valuation of the transmission asset of now [Foreign Language]. I would like to know what is the current situation of the preliminary report released by the National Commission of Energy and what are the following steps that the company has to make reply of the [indiscernible] . Could you give us some idea about this process and the impact that could have over Enel Transmission?
Paolo Pallotti: The comments that -- we can provide comments to this preliminary report. And the deadline for these comments is the 18th of May. So by the time, we are providing our comments because we have comments on this record. Then the regulator will collect comments from any parts that are involved in the process. And then we'll publish the definitive report. Once we have analyzed the reports, we make our, let's say, consideration. And if the case, case of discrepancy we go to the panel of the experts. So this is the process. Clearly, all out today, we cannot, let's say, this is the process. So this is what we are acting according to the headline that was in front of us.
Rodrigo Mora: Okay. Please. Just two short questions. One-of, if you could give us some idea of the evolution of the electricity [indiscernible] during last April. Last month. And second question is related to the volatility of availability of natural gas in Argentina during the first quarter. Some Argentina felt -- said to me that [indiscernible] used all the natural gas and instead of export use all the natural gas to produce electricity and export to Brazil. So I didn't know if some contracts, there were some contracts between Enel Generacion and some Argentinian gas producers that maybe were not accomplished during the first quarter.
Paolo Pallotti: As I mentioned in my speech, the situation with the Argentina gas was very complex, the end of last year and the first month of this year. That is that the problem was and is that these are -- this is the season when Chile usually imports gas from Argentina. And this lack require to use different sources -- during this period. And so creating [indiscernible] at the beginning of 2021. The availability during the first quarter was very, very low, I would say, negligible. So cannot -- we cannot support the generation or the use of [indiscernible] that we have in the central areas. So we have to act in a different way to act in the spot market in order to have certain supply through shipping of LNG because then we have our plan regarding the delivery the ship through our agreement with Shell that started already. So we are receiving regularly the cash that we need for our plant. To the problem was the Argentina gas. You mentioned correctly one event that their use of gas has been, let's say, to produce any electricity to be sold to Brazil. That's correct. That's the same information that we had. And there was also some other problems regarding the basin of Vaca Muerta. So at the very end, the availability of gas was negligible for everybody, I would say. The expectation for the next season is that this availability should be started again. That's it. We are -- this was the information that we have at the time being. Regarding the first vessel, honestly, yes, yes, and I would not comment. We are further focusing on the third of the first quarter, and then we will see the [indiscernible] of this evolution in the next call.
Isabela Klemes: Operator, do we have more questions on the line.
Operator: Yes, we still have one more from Sebastian Ramirez of Banchile.
Sebastian Ramírez: I got two questions. One is that I was keen to understand what are you expecting in terms of difference between injections and withdraw within generation given the large amount of renewables that is entered into the system. Do you see that any congestion that could be meaningful in terms of results going forward? And where do we we -- will we see those congestions being manifested the most within the -- your full operations. And then I got another one.
Isabela Klemes: So you can stay visible Sebastian.
Sebastian Ramírez: Okay, no worries. The other one is in regard kind of midterm expectations for CapEx going forward rather than the -- what we are observing within the plan, what should be mid to long-term sustainable CapEx? And what should we think in terms of growth going forward, ahead of what we already have as a projection on the numbers and industrial plan. Should we think that, that level of CapEx should be maintained for longer than what the investor plan suggests? Or then should we converge as to the maintenance CapEx level. That will be from my side.
Isabela Klemes: Okay. Thank you, Sebastian. Paolo?
Paolo Pallotti: Okay. Regarding the investing in rejection, what I would like to comment is that the position of our clients and the generation and supply of our electricity because the position of our client is spread not only all concentrated in the center. It is -- we have also important contracts in the north to disclose to the degeneration, our generation facility, especially the solar and the renewal generation facility. So we do not expect -- we do not see strong effect of and bottlenecks in the injection and so the difference between the injection and the withdrawal of price, especially considering that we have large contract with mine sector in the north. Regarding mid-term expectation, honestly what we see, we are going on with our investment plan. We, let's say, finalize the first tranche, let me say, of our projects within the next months. Hopefully, by the end of this year, maybe some models can go farther on the next early months. Of 2022, and we continue to invest in order to, let's say, get our target. That is 2.4 gigawatts of renewable capacity by 2023. And so in line with the expectation of CapEx. We do not see any change in terms of, let's say, investment in our plan.
Isabela Klemes: Operator, do we have more questions on the line. On the right, I go through the chat now.
Operator: No more questions at this time. And I would like to turn it back to Isabela Klemes. Ma'am, please continue.
Isabela Klemes: Okay. So we have several questions here on the chat. I will try to resume here because some of them they are similar. So thank you all to Mark. Alex and Evan as well. So the first question here is to elaborate a little more on the consumption drop we saw reservation in commercial segments in the distribution business. I think here, we have already touched this base. And also, the other question is why we saw increase in the customer base on the line of tools, what we call [indiscernible] on the announced distribution. Also on distribution, we have some questions on [indiscernible] because that we have already such a base here. So to go solid and Tomas is asking here regarding the latest [indiscernible] they fail to collect uncollectibles water edge provision. And giving the political noise to reduce the debt exposure to low-income customers? Is there a risk of Enel Distribution to be forced to make a ripping up of part of our totality of the uncollectable. If the National Energy Commission released its preliminary report in transmission tariff process with a negative impact on the transmission business and what is this impact? So transmission, I think we also have covered base. So I think just to conclude here, Paolo and Giuseppe on the distribution side on the demand, why we have a decrease on the demand during the quarter. And about the pay assets in order to in distribution.
Paolo Pallotti: Regarding the demand in the quarter, let's say that, clearly, there is the impact -- having the concessionary of Santiago and considering let's say, the way in which the situation of COVID we managed and considering also the certain areas been put in [indiscernible] limited activity we had less recover in the commercial sector. That has been sustained actually by the restoration consumption. So this is what we had seen in the first quarter. Regarding clearly compared to the first quarter of 2020, yes, the debt figures have been only limited affected by the pandemic. Regarding the other question was, again, related to the write-off clearly, today, we are acting, and we are following the evolution of the basic service loan according to what we have been formed. So we go through the common discussion. And the available discussion and available information that we have seen. So the information is based on the renewal with new deadlines of the current basic service loan. And so then we have expectation in terms of state participation in recovering this situation. So this is what I can comment -- I don't have a -- any further information to comment on.
Isabela Klemes: Okay. Thank you, Paolo. And to conclude here, we have less questions related to the guidance. And the investor is asking if we could give more color on the plan to cutting costs, then offset the headwinds that we have seen during the first quarter. And if you can comment on this. Thank you, Paolo, and Giuseppe. So this is the last question.
Paolo Pallotti: Yes. What I can comment is that we are reviewing clearly all the let's say, efficiencies that the efficiency plan that we put in place because this is have control. So this is something that when we act on. Clearly, there are other external elements that are, let's say, we can't control, like, as I mentioned before, the [indiscernible] and also the evolution of demand, the shape of the recovery that we can expect in terms of Chilean economy. Regarding the terminal activity. On top of the efficiency in the general the broadest sense, in the sense that we are looking at each business line, each activity that can be optimized in order to recover the situation that clearly has been complex in the first quarter, and we are trying to, let's say, to rebalance with this kind of internal action.
Isabela Klemes: Okay. So thank you, Paolo. So I'd like to thank you all for joining us today. So any other remaining questions you may have. So the Investor Relations team will be at your disposal. Thank you very much, and have a nice week. Thank you.
Paolo Pallotti: Thank you. Bye-bye.
Giuseppe Turchiarelli: Bye-bye.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.